Operator: Welcome to the Battalion Oil Second Quarter 2020 Earnings Call. As a reminder, today's conference is being recorded. This conference call contains forward-looking statements. For a detailed description, see Battalion's earnings announcement released yesterday and posted to its website. This conference call also includes references to certain non-GAAP financial measures. Reconciliations of these non-GAAP financial measures to the most directly comparable measure under GAAP are also contained in the earnings release. Now I'll turn it over to Battalion's Chief Executive Officer, Richard Little. Mr. Little, you may begin.
Richard Little: Thank you. I'd also like to thank listeners for joining Battalion's Second Quarter 2020 Earnings Call. The second quarter was particularly difficult because it forced us to put a hold on our plans for growth in 2020, which we have been making tremendous progress on up to that point. However, I am proud of our team's ability to work remotely and still keep our business on track to a brighter future. During the second quarter, our entire Houston corporate office conducted operations from home, and we continue to implement protocols out in the field to ensure the health and safety of our workforce every day. We also recognize the impact that COVID-19 has had in our community, so we rallied the battalion and held a food drive in Houston as well as donated hand sanitizer to first responders in our field operating areas. During our last call in May, Battalion had already made the decision to shut in over 50% of our field to preserve production in the face of a dramatic drop in our realized oil price. As a result, average daily net production for the quarter was 14,264 BOE per day, which represents 25% less production than the first quarter. Oil production for the quarter was 8,516 barrels per day. Due to the team's ability to react quickly to market conditions, we were able to reduce our capital spend quarter-over-quarter by 85%. We continue to react quickly to market conditions with agility by returning wells to production just as soon as it became economic to do so. We're currently back to around 11,000 barrels of net oil production per day, which is right around where we were just before we started to curtail production back in April. Even though we hit the pause button on our drilling and completion program, we have not been idle. We used this downtime to advance our proactive workover and well performance optimization programs, results of which are included in our current investor presentation on Slide 6. We will benefit in the long run from the diligence that our team has demonstrated, especially as we will be relying on our base business to generate free cash flow. I'm proud to say our wells continue to outperform offset operator well results, which is also depicted on Slide 6. This type of well performance is the result of applying a strong subsurface understanding to our completion and development plans and is also what drives our conviction in these assets. We have 4 drilled but uncompleted wells waiting on completion, which is anticipated to commence in Q1 of 2021, but we will react opportunistically, if possible. These solid well results in addition to downward pressure on D&C costs that we anticipate will occur in the near term highlight why we want to remain in a position to return to an active capital program as soon as possible. Lease operating and workover expenses was $8.36 per BOE in the second quarter of 2020 versus $9.03 per BOE in the second quarter of 2019. We also continue to see considerable savings in G&A compared to last year. Adjusted G&A was $2.85 per BOE in the second quarter of 2020 compared to $4.99 per BOE in the second quarter of 2019. With a significant drop in oil price, the company reported a net loss to common stockholders for the second quarter of $127 million, including a full cost ceiling test impairment of $60 million. The company also reported a net loss per basic and diluted share of $7.86. Adjusted EBITDA was flat quarter-over-quarter at around $23 million and a trailing EBITDA for the last 12 months was $98 million as of the end of June. That represents 75% growth from the prior year. Our leverage remains below 2x, and I'm pleased we're in a peer-leading position entering the second half of the year, but we'll continue to prioritize generating free cash flow and paying down debt. Looking ahead, we have a number of levers to pull to adequately manage our liquidity position. For example, our PDP remains well hedged through 2022 between $45 and $50 per barrel, which we were able to take advantage of this quarter by lowering our weighted average strike price from our existing hedges and thereby, accelerating cash value without unwinding our underlying position. As of June 30, 2020, the mark-to-market value of derivative contracts was approximately $38 million. We also had the ability to monetize noncore assets as we continue to block and tackle in our core areas. We've had to make difficult capital allocation decisions, such as cutting total capital expenditures by 40% from our original plan. However, we have found success in identifying certain price agnostic projects in preparation for future activity as well as continue to pursue deleveraging responsible M&A opportunities. It is still our belief that a merger in today's environment significantly benefits all stakeholders by generating scale through strengthened numbers. As we await and prepare for a return to the drill bit next year, we have been able to and will continue to optimize our base business as it is currently serving as our foundation for steadily generating free cash flow through these challenging times. That concludes our prepared comments. And again, I want to thank you for your interest in Battalion, and we'll now turn it over to the operator for questions.
Operator: All right. And ladies and gentlemen, that does conclude today's call. We do thank you for your participation, and you may now disconnect.